Hanna Jaakkola: Dear all, warmly welcome and thank you for tuning in for Kesko's Q1 2024 Release Call. Our agenda today is the following. Jorma Rauhala, President and CEO of Kesko since the 1st of February this year, will give the Q1 presentation. We have here together with us, our business division presidents Ari Akseli for Grocery Trade; Sami Kiiski for Building and Technical Trade and Acting Division President for Car Trade, Johanna Ali; as well as CFO, Jukka Erlund. After Jorma's presentation, it's time for questions both by phone and via chat function. All the materials related to Q1 can be found at our webpage kesko.fi under Investors. My name is Hanna Jaakkola. I work as IR Director at Kesko. I will be at your service after the presentation for your questions and discussions. But now, Jorma, the virtual stage is yours. Please.
Jorma Rauhala: Thank you, Hanna. Ladies and gentlemen, welcome also on my behalf to this release call. I am Jorma Rauhala, and I have now the pleasure to present Kesko's Q1 results. Today's headline is a good result in a challenging market, and it describes the first quarter well. Now I will first give an overview of our business performance and open up elements behind the results. Key events in the first quarter. Result was in line with expectations in a challenging market. Cost efficiency was good and cash flow from operating activity is strong. In grocery trade, net sales increased and profit was stable. In building and technical trade profitability weakened as expected due to the weak construction cycle. In car trade, net sales and profit were at good level. Danish Davidsen became a part of Kesko's building and technical trade as of 1st of February. And there were changes in group management board. I started as new President and CEO; Sami Kiiski, as new President of building and technical trade division and Johanna Ali as new Acting President of car trade division. Net sales in Q1 totaled close to €2.8 billion. It was down by €69 million. Net sales increased in grocery trade. Rolling 12 months net sales were over €11.7 billion. In Q1, comparable operating profit was €99.5 million, and operating margin was 3.6%. Comparable operating profit decreased in all 3 divisions. Rolling 12 months operating profit was €686 million and operating margin was 5.9%. Return on capital employed, one of our financial targets, was 12.5%. Return on capital employed decreased in all divisions as earning declined. Financial position. Cash flow from operating activities rose clearly to €113 million. Cash flow strengthened on the comparison year. Thanks to further improvement in working capital management. Interest-bearing net debt increased year-on-year as a result of investment in logistics, acquisitions and store site in grocery trade. Net debt to EBITDA was 1.1. Capital expenditure. Capital expenditure was up due to investments in store sites and acquisitions. We continued investments in the network of grocery store sites. In March, we acquired 2 properties, the Sinikallio Shopping Center in Mankkaa, Espoo, where we have a K-Supermarket and a property for K-Citymarket, Salo in Southwestern Finland. As mentioned earlier, Kesko acquired Davidsen in Denmark and the transaction was completed in January. Other investments include Onninen and K-Auto's shared logistics center in Hyvinkaa, Finland, where construction is expected to be completed in 2025. Expenses. We have succeeded well in focusing on cost efficiency despite high inflation during the year. Expenses, excluding acquisition, especially Davidsen and Elektroskandia, were stable year-on-year. Fixed costs were €507 million and cost ratio 18.4%. Now to the grocery trade. Good performance in Q1. Net sales totaled €1.5 billion and grew by €20 million and increased by 1.3%. At the same time, retail sales grew by 2.7%. In grocery trade, comparable operating profit for Q1 was €82.5 million, and it decreased by €1.4 million. Profitability was 5.4%. Rolling 12 months operating profit was €443.4 million and operating margin was 7.0%. In the grocery trade division, net sales grew and operating profit was stable despite our actions to strengthen price competitiveness. K Group's grocery sales grew 3.3%. Online grocery sales grew by 20% and were some 4.1% of K Group's grocery sales. Total grocery market growth, approximately 3.9%. K Group's market share decline continued to slow down in Q1. Actually, our market share development was pretty much in line with market development. Sales for the food service business grew by 0.7%, outpacing the market. Price inflation for groceries in Finland slowed down clearly and stood at 0.6%. Consumption has become more polarized. On the other hand, price continues to be important. But on the other hand, consumers also emphasize quality and convenience. For example, the growth in ready-made meals and other restaurant quality takeaway products increased. Also, online fast deliveries have increased strongly and typically, the shopping baskets in fast deliveries consist of impulse categories and delicacies. Customer flows continue to grow. Thanks to campaigns. In building and technical trade result was in line with expectation in a weak cycle. Net sales decreased by €59 million to €964 million as the construction market was down compared to the comparison period. Comparable operating profit for the building and technical trade division totaled €6.8 million and operating margin, 0.7%. Rolling 12 months operating profit was €189.3 million, and operating margin was 4.6%. Overall, the net sales and operating profit development were in line with expectations. Construction cycle is weak in all operating countries. Net sales and operating profit were also impacted by the fact that the number of delivery days were down year-on-year due to timing of Easter. Negative impact of calendar was over €3 million on operating profit. In particular, net sales and gross margin for solar power products were lower than the exceptional levels seen in the comparison period. During winter 2023 the energy prices were at a very high level. In the next page, I will open up Onninen Finland's result and the solar power products a bit more. In Norway, the integration of the technical trade operator Elektroskandia, which we acquired a year ago, will be completed this spring. A positive profit impact will be seen in the numbers from the second half of the year onwards. In Sweden, the conversion of K-Rauta stores into K-Bygg stores is proceeding as planned. 5 loss-making K-Rauta stores have been closed. All the conversions will be completed by the year end. In Denmark, Davidsen was incorporated to Kesko as of 1st of February. The comparable operating profit was impacted by €2.7 million expense related to Davidsen's inventories. We announced that there will be an expense when we bought the company. This is customary in acquisitions. Share of result from Kesko Senukai was minus €0.4 million. Times are more difficult now, but it is good to bear in mind that cycles turn at some point, and we are in good position. Going forward, our objective is to be among the leading operators in building and technical trade, not only in Finland and Norway, but also in Sweden and Denmark. Now I will open up the solar power products more by looking at Onninen Finland's result. Onninen Finland's operating profit was down year-on-year. Solar power product sales were exceptionally strong in the comparison period. All in all, the technical trade market in Finland continued to weaken, especially due to heavy decline in new constructions. Net sales for Onninen Finland were down by 16.8% year-on-year, totaling €261 million. Onninen's market shares in Finland continue to strengthen further. Onninen Finland's comparable operating profit were €10.4 million and declined by €12.6 million. Some 40% of the decrease was due to decline in the net sales and gross margin for solar power products. If you look at the last year's solar power product sales, the majority of the products were sold during the first half. Gross margin split in 2023 from solar power products were 41% in Q1, 42% in Q2, 13% in Q3 and only 4% in Q4. In Q1, solar power products margins were down due to excess supply of solar power products on the market. Inventories are expected to return to normal levels this summer. In car trade, profitability was at a good level. In car trade, net sales for Q1 decreased by €30 million and were €286 million. Net sales decreased in new cars and increased in used cars and services. In the comparison period, net sales for new cars increased by the cleaning of order books as the availability of cars improved. The comparable operating profit totaled €16.4 million and decreased by €3 million. year-on-year. Operating margin was 5.7%. Rolling 12 months operating profit was €79.5 million, and operating margin was 6.5%. In the car trade division, net sales and profit were at a good level in the first quarter. K Auto's order book for new cars grew compared to the end of 2023. New car orders exceeded the market development. Also, used car sales grew and market share continued to strengthen. There was also positive development in service sales. Growth in servicing, damage repairs and spare parts. Also, strong growth continued in the K-Lataus EV charging business. In sports trade, net sales were down by 21.4%. Retail sales down by 7%. Market share in sports trade increased. The structure of car trades has changed over the years. Used car business and service sales have clearly increased in the business portfolio. Just 3 years ago, new car sales were some 60% of division sales. Currently, used cars and services are almost half of the sales. Our strategy is to grow all these businesses. Profit guidance and outlook. There are actually no changes to the outlook compared to what we said in January. In grocery trade, B2C trade and the food service market are expected to remain stable despite tightened price competition and inflation is expected to slow down in 2024. Profitability in grocery trade is estimated to remain good also in 2024. In building and technical trade, the market is expected to continue to decline in 2024. The economic cycle will have the biggest impact on new residential building, while the decline in other building construction, renovation building and infrastructure construction is expected to be smaller. The cycle is expected to turn in 2025. Profitability in building and technical trade is estimated to fall short of the 2023 level, but to still remain at a reasonably good level in 2024. In car trade, new car sales are expected to fall short of the 2023 level. Sales of used cars and services are expected to grow. Profitability in car trade is estimated to still remain good in 2024, but to fall short of the 2023 level. Profit guidance for 2024. Kesko's operating environment is estimated to remain challenging in 2024. Kesko's net sales and operating profit are estimated to remain at a good level in 2024 despite the challenges in the company's operating environment. Kesko estimates that its comparable operating profit in 2024 will amount to €620 million to €700 million. Previously, the comparable operating profit was estimated to amount to €620 million to €720 million. The operating profit guidance adjustment is related to the weaker than anticipated outlook for construction in 2024. And then to the topical themes. Priorities in grocery trade. Development of our store site network continues in 2024. We will open 1 U.K. city market store and carry out 30 store updates. 3 new U.K. supermarket store will be opened and 12 store updates will be carried out. And neighborhood stores, 6 new market stores will be opened and 20 stores will be refurbished. We will focus on further development on off-store specific business ideas and further improvement of operational efficiency. We want to be active in carrying out actions towards competitive price levels and targeted offers and improving price image. All in all, we are currently further clarifying our competitive advantages as part of our strategy review process this spring. Priorities in building and technical trade. We will focus on proactive sales, continuing cost savings program, developing the Onninen Express network in Finland and the Baltic countries, building central warehouses for Onninen, converting K-Rauta stores in Sweden into K-Bygg stores, finalizing Zenitec's integration, finalizing the Elektroskandia integration in Norway, combining Davidsen's operations with Kesko's operations and also, we will look into potential new acquisitions. Priorities in car trade. In car trade, the focus is on growth that outpaces the market in all business areas. We will focus on maintaining good profitability, launching imported new car models, continuing growth in used cars, expanding offering into service business, growing multichannel sales and network and also developing further and expanding K-Lataus EV charging network. Before I finish my presentation, I'd like to summarize our market position and market share developments in Finland across the divisions since Finland is our largest market. In grocery trade in retail business, K-stores market shares development was pretty close to market development. In Kespro foodservice business, we gained market share. In building and technical trade, our market share strengthened in both for Onninen and K-Rauta. In Finland Kesko is a clear market leader in building and technical trade. In car trade, we gained market share in both new car sales as well as used car sales. Also, in sports trade, winter sports market share grew. Economic cycle will turn at some point and Kesko is in very good position to grow further and strengthen its profitability. Thank you.
Hanna Jaakkola: Thank you, Jorma, for the presentation. So now it's time for questions. We will first turn to the conference call line. And since we have had here management changes, we will have an open discussion. And the one who knows the matter the best will step in then. So conference call line please.
Operator: [Operator Instructions] The next question comes from [ZZZ] from BBG. The next question comes from Anna Schumacher from BNP Paribas Exane.
Anna Schumacher: I have 2, if that's okay. So the first is on the competitive environment in grocery. This signal is that the consumer appears or is looking to be in a better position and volumes returning. Have you seen any changes in the competitive environment?
Jorma Rauhala: Yes. I think, Ari, you can take this question.
Ari Akseli: Yes. You can say that competition is pretty hard in the market. But like Jorma explained it earlier, people are looking, of course, better prices. But at the same time, more convenience and also ready meals are increasing. That's something that you can say. So no main changes. But also we have put lots more efforts to the better prices. Good example is that we discounted the whole K-Menu range down with the market level and K-Menu is the price factor serious for us.
Anna Schumacher: Okay. And then I was hoping you could talk a little more about the reorganization of Kespro and the thought process behind it.
Jorma Rauhala: Okay. It's Kespro, so Ari you can continue.
Ari Akseli: Yes. And like we have explained earlier, Kesko is the clear market leader in traditional wholesale market. But now we are expanding the operation to the specialty markets and other operating areas and also offering more services for the customers. And this is, of course, good source for the growth in the future for the Kespro. And behind -- this is the behind the reasons for the new organizations and savings that we are doing.
Hanna Jaakkola: There are no further questions on the conference call line at the moment, I guess. So I will turn at this point to the questions I got here from the chat function.
Anna Schumacher: [indiscernible] question.
Hanna Jaakkola: Anna, are you still there? Would you like to ask another question?
Anna Schumacher: Oh, hi. Sorry. Sorry. No, no, no.
Hanna Jaakkola: Okay. All right. Thanks. So, there's a question from Svante Krokfors, Nordea asking, have you had any meaningful bad credit losses, bad credits or credit losses in BTT clients?
Jorma Rauhala: I can answer this one. So, Jorma Rauhala, and I'm very happy to say that no, we haven't. And same is with guests for us business, no meaningful losses at all.
Hanna Jaakkola: Very good. I heard that there is a call waiting, so maybe to the conference call again.
Operator: The next question comes from Fredrik Ivarsson from ABG.
Fredrik Ivarsson: I just have one question on BTT, and the margin there, obviously down a bit versus last year, a couple of percentage points. Would you be open to share how much of that due to a lower gross margin and how much is just from negative deleverage from the low volumes?
Jorma Rauhala: Yes. Of course, I think that it's a combination, but mainly it's because of volume. And of course, some pressure also from gross margin, but mainly volume. That's the main reason. And of course, there are those other reasons. What we have said, for example, sales days, which were more than €3 million effect, negative effect for Q1, and that one will be positive in Q2. And also this case with this solar panels, more than -- only in Finland, more than €5 million effect -- negative effect to our EBIT, EBITDA and then of course this Davidsen, those inventory topics, something like €2.7 million. So -- but your question is mainly volume, but a little bit also with gross margin.
Fredrik Ivarsson: Okay. That's clear. And what about the outlook for the remainder of the year? Do you still judge the gross margin to remain fairly stable?
Jorma Rauhala: Yes. I would say so. We have also guided this year. It is what we expected also earlier that this year in BTT will be softer than last year. But next year, we will be better. But I would say that the biggest pressure for gross margin was with those solar power products. And that will -- that will be -- month by month will be a better situation now.
Fredrik Ivarsson: Okay. Very clear. That's my only question.
Hanna Jaakkola: Thank you, Fredrik. Anything else on the conference call? And I'll turn to the chat function again. From your perspective, how do you look at construction market phases of the cycle in your operating countries?
Jorma Rauhala: Okay. I can maybe start. Sami you can continue if you want. But, of course, we operate in 8 countries, and those are different. And of course, we have to remember that we have different kind of businesses also in those countries. We have this consumer business. We have what comes to building and home improvement, professional business and technical trade. At the same time, we have different kind of customer segments under Onninen and there are infra, there are contractors, the industry. So we can say kind of 1 point or something like that that when -- change will happen in each countries. But if I look at those [Forigon] forecast, for example, and how they have changed since January, I would say that I look a little bit positive what comes to Denmark. There seems to be that -- in second half of the year it could be much, much better. Also Sweden situation has improved a little bit what they forecasted earlier. And then Finland and Norway maybe a little bit weaker than expected earlier. But let's see, important is that what will happen next weeks because the consumer business was the first one which started to decrease almost 3 years ago. So now it's snow in Finland. But let's see in coming weeks, very important weeks to see how the consumer business will recover. But like I mentioned, 8 countries, different customer segments and difficult to say one moment or which one will be the first one to recover. But there will be some differences. Sami, do you add anything?
Sami Kiiski: Yes. Good morning. Sami here I think that was quite a comprehensive answer. But of course, like I said, the situation varies somewhat depending on the country. But overall the cycle is expected to turn in 2025.
Jorma Rauhala: Yes.
Hanna Jaakkola: Very good. Then grocery trade EBIT was impacted by increase in store side costs. Is it only increased rents? Could you please elaborate?
Jorma Rauhala: Yes, there were 3 reasons for that. One is that we have increases in rentals based on the indexes. And at the same time, we have building and construction more. So we have more depreciations and higher property and maintenance costs. These are the real reasons for that.
Hanna Jaakkola: Good. BTT, what is your cost savings program focusing on? Is it temporary or permanent cost savings?
Jorma Rauhala: I can start. Maybe Sami, you can continue if you want. I would say that both. First of all, of course, we are looking every cost, what we can do with those ones. And the biggest item is personnel costs. And there we have both, both temporary and permanent cost savings. But Sami, do you want to continue? Some technical issues.
Hanna Jaakkola: Some technical issues.
Sami Kiiski: [indiscernible] but of course, currently challenging market situation. Also, the temporary cost savings are very important. [indiscernible] cost savings.
Jorma Rauhala: Yes.
Hanna Jaakkola: Okay. Thank you. Then Kesko earnings per share decreased by 46%. Please give comment on that.
Jorma Rauhala: Jukka can open this one.
Jukka Erlund: Yes, sure. Thank you. So first of all, for the first quarter, I think that the earnings per share decrease was something like 27%. So not that 40%. But then again, the reason is mainly coming from the operating profit. So EBIT was down and that we have already opened up earlier. And then another part coming from the interest rate costs, which is due to the capital expenditure that we have done acquisitions and store site costs. So the balance sheet is a little bit -- the net debt has increased, and that is partially affecting the interest rate cost as well. So those 2 reasons.
Hanna Jaakkola: Very good. Thank you. [indiscernible] is asking new car trade orders increased from the end of the last year. Do you see that market to increase going forward?
Jorma Rauhala: [indiscernible]
Hanna Jaakkola: Yes, that is the [ question]. Yes.
Jorma Rauhala: So, Sami or Johanna, which one, you can choose.
Johanna Ali: Good morning from my side. This is Johanna Ali. Yes, our new orders increased and order book grew from the end of 2023, like mentioned. And then when it comes to the market of course, it's a market -- it's really challenging, and it's maybe a big question mark what will happen in the [whole] market. But we estimate that we will at least increase the orders also for the coming months. Yes, Sami.
Jorma Rauhala: Yes, Sami, continue. Yes.
Sami Kiiski: Yes, correct. Yes. Correct. And also the car business, it's related very much on the models, which you have. And like we have said, we have very interesting models to come from all our brands. And these are -- already some are introduced and will be introduced during the 2024.
Hanna Jaakkola: Are there any questions on the conference call line? No. Last question from here. If you have any further questions, please type your questions, since it takes some time before I can see it here. But I'll take the last one I can see. Could you elaborate the factors in the decline of operating profit in building and technical trade? Were there -- there were some additional items in addition to Davidsen? Was there any additional items? Addition to Davidsen?
Jorma Rauhala: Yes. That was this -- Jukka you can open maybe that €2.7 million.
Hanna Jaakkola: But anything else that was impacting operating profit?
Jukka Erlund: I think Jorma has covered already that question quite thoroughly. So it was really the Davidsen impact, then the sales day effect, around €3 million -- more than €3 million as such. And then the solar panel effect just in -- on in Finland, around €5 million. And then obviously, the cycle and volume effect.
Hanna Jaakkola: Exactly.
Jukka Erlund: So those are the factors.
Hanna Jaakkola: Exactly. Very good. If there isn't any further questions, I would like to thank all the participants for the call and hopefully enjoy the beautiful spring weather coming up hopefully this weekend. Any last comments, Jorma, the market?
Jorma Rauhala: Yes. As we mentioned, the first quarter was what we expected. And of course, what we have also said that grocery business and car business are quite stable, I would say so. And we know that in building and technical trade, the market is weak now. But what we have also mentioned that we believe that next year will be better and I also believe that in some areas the recovering will start already this year, latter part of this year.
Hanna Jaakkola: Very good.
Jorma Rauhala: Yeah. So thank you.
Hanna Jaakkola: Thank you.